Operator: Good afternoon, and welcome to the TPI Composites Fourth Quarter and Full Year 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jason Wegmann, Investor Relations for TPI Composites. Thank you. You may begin.
Jason Wegmann: Thank you, operator. I would like to welcome everyone to TPI Composites fourth quarter 2023 earnings call. We will be making forward-looking statements during this call that are subject to risks and uncertainties, which could cause actual results to differ materially. A detailed discussion of applicable risks is included in our latest reports and filings with the Securities and Exchange Commission, which can be found on our website, tpicomposites.com. Today's presentation will include references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of historical non-GAAP measures to the comparable GAAP financial measures. With that, let me turn the call over to Bill Siwek, TPI Composites' President and CEO.
Bill Siwek: Thanks, Jason. Good afternoon, everyone, and thank you for joining our call. In addition to Jason, I'm here with Ryan Miller, our CFO. I'll discuss our results and highlights from the fourth quarter and full year, our global operations and the wind energy market more broadly. Ryan will then review our financial results, and then we'll open the call for Q&A. Please turn to Slide 5. As we indicated on our third quarter earnings call, we expected our fourth quarter sales and adjusted EBITDA to be down as we started line transitions across our plants and lowered inventory levels to optimize cash. Our strategy to preserve cash in the fourth quarter was successful as we ended the year with $161 million of cash, which was flat with where we ended the third quarter. I'm very happy with how our team executed our cash flow initiatives to prioritize liquidity through the quarter given some of the headwinds we were facing. As Ryan has been discussing in the last few quarters, we believe we have opportunities to harvest cash out of our balance sheet, and that's exactly what we did. During the quarter, our sales were negatively impacted at one of our plants due to out-of-spec material received from a supplier that resulted in a significant production slowdown over a 10-week period, including a shutdown for four weeks, while we resolved the issue with both the supplier and our customer. This reduced our fourth quarter sales by approximately $23 million and adjusted EBITDA by $8 million, but we do expect to recover the missed blade volume, revenue and adjusted EBITDA along with liquidated damages from the supplier in 2024. I was pleased with how our team reacted to this issue, shut down production and engaged with our customer quickly to ensure we didn't have a quality issue. As we announced in mid-December, we refinanced our Series A preferred shares by converting the $350 million of Series A, along with $86 million of accrued pay-in-kind of dividends through a cashless exchange for $393 million of senior secured term loan and the issuance of 3.9 million shares of common stock. This refinancing improved our liquidity by about $190 million over the term of the loan, and we permanently reduced our obligations to Oaktree by about $90 million. We can now pick up to 100% of interest payments through December 31, 2025, and up to 50% of interest payments from January 1, 2026, through the maturity on March 31, 2027. This agreement provides us with significantly greater financial flexibility and along with the $132.5 million convertible green bond we issued earlier in 2023 provides us with the liquidity we expect to need to fill our existing capacity, manage through the current market conditions and ultimately grow to serve our customers' capacity needs. From a customer perspective, we finalized several contract extensions and expansions to provide significantly enhanced visibility into our sales volumes in 2025 and beyond. We signed a new supply agreement with GE in Mexico to provide their workhorse turbine, which will facilitate GE's ability to competitively serve the U.S. market while building on a long and productive relationship. We will start up four lines of the new blade this year, and production will ramp up in the second quarter to be at full serial production over the second half of the year. With the addition of this blade, we now support GE's three primary turbine models for the U.S. market. To expand its reach in the European wind energy market, we established two new production lines in Türkiye for Nordex, increasing our total capacity for them in Turkey to eight lines or approximately 3.2 gigawatts. This expansion secures production for up to three years through 2026. We also extended our supply agreements with Vestas through 2024 in Mexico and India and continue to work with Vestas to align our footprint with their long-term needs. Please turn to Slide 6. Before I jump into our operating results, I would like to formally welcome Chuck Stroo, our COO of Wind. Chuck comes to us having spent 24 years in the aerospace industry, most recently as Vice President of Operations for Power & Controls within Collins Aerospace, a multibillion-dollar business. With a track record of leading large complex organizations, Chuck brings deep operational expertise, and leveraging his passion for lean principles to drive operational excellence and consistently deliver results. We are thrilled to have Chuck join the TPI team and look forward to his contributions to our ultimate success. Also joining us this past year as our Chief Quality Officer was Neil Jones. Neil brings over 25 years of experience in quality and engineering positions in the wind and automotive industry. Neil spent more than 13 years with Vestas in a variety of quality leadership roles with the last five as Senior Vice President, Quality, Health, Safety and Environmental. Before joining Vestas, Neil spent over 20 years in the automotive industry, including engineering and quality leadership roles with TRW and a senior quality leadership role with Eaton Automotive. I'm excited with the transformative strength of our new and improved executive team as each member brings exceptional talent, diverse perspectives and a proven record of success, making them well equipped to guide our company to the next exciting chapter. Now moving on to the business. Our blade facilities in India and Türkiye continue to excel operationally, driving our global utilization rate to 87% while delivering 602 sets or 2.6 gigawatts during the quarter. As expected, revenue from our global service business declined year-over-year due to fewer technicians deployed on revenue-generating projects due to the warranty campaign we announced in the second quarter. That will turn around in 2024. While the automotive business has made significant progress with the order pipeline and operational execution initiatives, 2023 revenue was down year-over-year due primarily to Proterra's bankruptcy. As you know, we have made meaningful investments to expand the automotive business during the last several years. While we believe there is increasing demand for composite products for electric vehicles, and we have made significant progress with the automotive business, we intend to prioritize capital for growth in the wind business in the near-term, which is why we have been exploring strategic alternatives to ensure our automotive business is sufficiently funded to execute on its growth strategies. Our intent is to complete this process no later than June 30 of this year. Our supply chain costs have improved significantly compared to the past two years. Raw material costs continue to decline from 2023 levels, and we anticipate that excess capacity of key inputs and reduced Chinese demand should create further cost savings in 2024. While logistics costs have returned to pre-pandemic norms, we have seen a spike in rates due to the ongoing Red Sea situation. While the situation remains fluid, we've mitigated delivery impacts through alternative suppliers and multimodal logistics solutions, and we'll continue to closely monitor events for potential effects on our cost and availability of critical raw materials. Now, with respect to the wind market, globally we have seen a surge in government support for renewables in recent years, exemplified by the U.S. Inflation Reduction Act and the EU’s policy push for streamlined regulations, faster permitting and cross border cooperation. These initiatives fuel our optimism for long-term wind industry growth. This momentum was further bolstered at COP28, where parties made history by agreeing to a transition away from fossil fuels and the global stocktake. The Renewable Energy Directive, a key part of the European green energy deal was amended in early 2023 and adopted by all EU countries in November, raising its 2030 renewable energy target to 42.5%. In addition, the Wind Power Package was launched aiming to double wind capacity by 2030 and to strengthen Europe’s competitiveness in wind energy manufacturing. While favorable long-term policies like the IRA and Net-Zero Industry Act provide optimism, we still don’t anticipate increased wind industry installations to fully materialize until 2025, as the wind industry awaits some critical details on implementing key components of the Inflation Reduction Act and the execution of the more robust European policies. Additionally, permitting hurdles, transmission bottlenecks, elevated interest rates, inflation and the cost and availability of capital all contribute to delaying a full-fledged market recovery. We expect 2024 to be a year of transition with sales declining slightly from 2023 but with a significant EBITDA improvement. Currently, we are operating 37 lines, including the four for Nordex and Matamoros that will transition back to them in mid-2024, as well as six new lines starting up and four lines transitioning all in 2024. This will impact utilization and output in the first half of the year with the second half projected to improve markedly as the lines and startup and transition achieve serial production levels. So, notwithstanding slightly lower utilization in 2024 compared to 2023, we expect a significant improvement in EBITDA and EBITDA margin as many of the operational and quality challenges we experienced in 2023 are now behind us. We expect our 2024 EBITDA margin to be in the range of 1% to 3% for the full year, but on a trajectory to get back to EBITDA levels north of $100 million in 2025 and to our target EBITDA margin in the high single digits. With that, I’ll turn the call over to Ryan to review our financial results.
Ryan Miller: Thanks, Bill. Please turn to Slide 8. In the fourth quarter of 2023 net sales were $297 million compared to $402.3 million for the same period in 2023, a decrease of 26.2%. Net sales of wind blades, tooling and other wind related sales, which hereafter I’ll just refer to as wind sales decreased by $96.9 million in the fourth quarter of 2023 or 25.6% compared to the same period in 2022. Sales were negatively impacted at one of our plants by a production slowdown over a 10 week period, including a shutdown for four weeks due to out of spec material we received from a supplier, and we ramped down five lines of preparations for transitions that will occur in early 2024. Sales were also impacted by a reduction in wind blade inventory included in contract assets driven by working capital initiatives. The inventory reduction impacted net sales of wind for the quarter ended December 31, 2023 as lower blade inventory costs directly correlate to lower revenue under the cost-to-cost revenue recognition method for our blade contracts. These decreases were partially offset by higher average selling prices. Field services sales decreased by $1.1 million in the fourth quarter compared to the same period in 2022. While we were able to deploy many of our field services technicians back to revenue generating services in the quarter, our field services sales continued to be negatively impacted by the warranty campaign we disclosed in the second quarter of 2023. Automotive sales decreased $7.3 million in the fourth quarter compared to the same period in 2022. This decrease was primarily due to a reduction in bus body deliveries due to Proterra’s bankruptcy. Net income attributable to common stockholders from continuing operations was $11.6 million in the fourth quarter of 2023 compared to a net loss of $41.9 million in the same period in 2022. The year-over-year improvement was primarily driven by the refinancing of our Series A preferred stock into a senior secured term loan whereby we recorded an $82.6 million gain on extinguishment. Adjusted EBITDA for the fourth quarter of 2023 was a loss of $28.1 million compared to adjusted EBITDA of $21.2 million during the same period in 2022. The decrease in adjusted EBITDA for the three months end of December 31, 2023 as compared to the same period in 2022 was primarily driven by lower sales as I just described, increased costs related to quality initiatives and higher startup and transition costs. In addition, note the fourth quarter of 2023 includes $20 million of losses from our Nordex Matamoros plant. This should be the last quarter we see anywhere near that level of loss for this plant as we have better pricing in 2024 and plan to transition that factory back to Nordex in the middle of the year. Moving on to Slide 9. We ended the quarter with $161 million of unrestricted cash and cash equivalents and $485 million of debt, which includes the senior secured term loan with Oaktree, the $132.5 million green convertible notes we issued in March of last year, the credit facilities we utilized in Türkiye and India to manage working capital, and a small number of equipment finance leases. We had negative free cash flow of $15.4 million in the fourth quarter of 2023 compared to positive free cash flow of $15.5 million in the same period in 2022. The net use of cash in the fourth quarter of 2023 was primarily due to our EBITDA loss and capital expenditures partially offset by working capital improvements, which were primarily aimed at lower inventory levels in our contract asset balance. Note that we were able to reduce our contract asset balance by $72 million in the fourth quarter or almost 40%. We continue to place a significant focus on preserving cash, ensuring efficiently deploy our working capital to make sure we can comfortably execute key initiatives as we move forward and restart our idle capacity. Now, a summary of our financial guidance for 2024 can be found in Slide 10. We anticipate sales from continuing operations in the range of $1.3 billion to $1.4 billion, representing a slight decline compared to 2023. This decline is primarily driven by lower blade sales due to production line transitions and temporary demand softness, partially offset by rising ASPs. Additionally, automotive revenue will likely decline due to the Proterra bankruptcy, while field service sales are expected to improve with increased technicians deployed on revenue generating projects. We previously highlighted our expectation for a significant improvement in 2024 adjusted EBITDA and EBITDA margin. This is driven by several factors, the absence of a large warranty charge, completion of the Nordex Matamoros contract, the absence of the Proterra bankruptcy charge and our field service organization returning to revenue generating work. However, these positive factors will be partially offset by utilization decline from 82% to a range of 75% to 80% due to planned startups and transitions, higher startup and transition costs and continued inflation challenges, particularly in Türkiye and Mexico. These factors contribute to an expected EBITDA margin range of 1% to 3%. I wanted to give you some directional perspective on our plans for 2024. We believe 2024 will be a tale of two halves. In the first half, we will be ramping up 10 lines that are either in startup or transition. We expect the first half’s volumes to be a fair amount lower than second half and the first quarter will be lower than the second quarter. As we work through these transitions and startups early in the year, we are expecting to generate modest losses and consume cash. In the first half of the year, I’m expecting our adjusted EBITDA margin to be a mid-single digit loss and as these volumes ramp, our adjusted EBITDA margin improves to mid-single digits in the second half. We currently expect that sometime in the second quarter we will likely hit our low watermark for cash on hand and then as the 10 lines ramp to serial production, we expect to be generating positive cash flow in the second half of the year. In 2024, we anticipate capital expenditures of $25 million to $30 million. These investments are driven by our continued focus on achieving our long-term growth targets and restarting our idle line. We continue to be confident in our liquidity position, which has improved significantly since we refinanced the Oaktree preferred shares into a term loan. Our balance sheet, along with the improvement in our liquidity and operating results will enable us to navigate another transition year and will also allow us to invest to achieve our mid to long-term growth, profitability and cash flow targets. With that, I’ll turn the call back over to Bill.
Bill Siwek: Thanks, Ryan. Please turn to Slide 12. We remain bullish on the long-term energy transition and believe we will continue to play a vital role in the pace and ultimate success of the transition. We remain focused on managing our business through the short-term market challenges and remain excited about how well positioned we are with our significantly improved liquidity and strong balance sheet to capitalize on the significant growth the industry expects in the coming years and in turn attain our growth and financial goals. I want to thank all of our TPI associates once again for their commitment, dedication and loyalty to TPI. I’ll now turn it back to the operator to open the call for questions.
Operator: [Operator Instructions] The first question today is from Mark Strouse with JPMorgan. Please go ahead.
Mark Strouse: Yes, good evening. Thank you very much for taking our questions. So, I wanted to go back to the comment about the – some of your customer – well, I guess kind of the ramp in order activity kind of waiting for some of the guidelines of the IRA to come out. I just want to make sure I’m thinking about this right. Is that more a comment of kind of the pipeline opportunities and new lines that might come with that? And I think the follow-on question is just kind of the visibility into the second half ramp. Is that largely set in stone? Or is there anything that, that ramp is waiting on as far as the IRA or otherwise?
Bill Siwek: Hey Mark, thanks for the question. I mean as far as the second half, that’s pretty much baked in right now, right? I mean we’ve got – there’s nothing dependent on the IRA for that. I think from a longer-term perspective, we see an inflection point in 2025. We’ve seen a number of our customers announced some pretty good orders towards the end of last year, beginning of this year. Many of those are for 2025 and 2026 and beyond. So again, I think, there is some clarification on IRA. There’s – I think we’re starting to see a lot of interest and activity around repowering as well. And I just think there’s still some clarification, domestic content and a few other things that will kind of open up the [indiscernible], if you will, on whether it’s repowering or further orders into 2025 and 2026.
Mark Strouse: Okay. Thanks, Bill. And then the comment about the – getting north of $100 million in annualized EBITDA in – beginning in 2025. Just kind of making sure I’m thinking about that right. Are you saying kind of the full year 2025 number you’re expecting that to be over $100 million? Or is that at some point in 2025, the annualized run rate will be north of $100 million?
Bill Siwek: No, that would be for the year 2025 over $100 million.
Mark Strouse: Excellent.
Bill Siwek: If you think about the – okay, thanks, Mark.
Mark Strouse: Sorry Bill, I didn’t mean interrupt. Go ahead.
Bill Siwek: No, you good.
Mark Strouse: Thank you.
Operator: The next question is from Eric Stine with Craig Hallum. Please go ahead.
Eric Stine: Hi Bill, hi, Ryan.
Bill Siwek: Eric, how are you?
Eric Stine: I’m doing good. So maybe we could just talk a little bit about the – more color on the materials issue you had because of the slowdown and then also the shutdown. I mean, is this something that is common in your business, but this just happened to be very large, so it had an outsized impact and you needed to call it out? Or just maybe some thoughts in is this something we can think about that it is behind you?
Bill Siwek: Yes. It’s behind us. It’s not common, and it was a material impact to us, which is why we called it out. So this was a customer-directed supplier with a quality issue. We identified it quickly early on, quite frankly, and stopped production as a result, because we didn’t want to have any quality escape. So it’s not something that is normal in the industry, but it happens from time to time. And we – it is behind us, and it did create a significant slowdown for us in – at least in one plant in the fourth quarter, which is why we called it out separately.
Eric Stine: Got it. And it’s something that – I mean just to confirm, so you do expect, I mean this is not lost volume, these are volumes that you will see in 2024, you expect to see in 2024. And is there any way to think about kind of the magnitude of the makeup that you might get from that supplier? Or I mean, I would assume it’s a meaningful amount.
Bill Siwek: Yes. I mean we’ve – obviously, we’ve returned the material, but it was – I think we – it’s a $20 million sales impact and an $8 million EBITDA impact in the fourth quarter. So you would expect that to flow through into 2024.
Eric Stine: Okay. And then maybe a second one for me. Just on the warranty issues, good news that some of your technicians are starting to transition back to more revenue-producing activity. And I mean, on one hand, you’re sounding much more optimistic about it, but yet it still sounds like it’s something that you expect to have an impact going forward. So is this just a case of these things winding down? And I mean do you feel like you’ve got a handle on the entirety of the issue? Is this something that you think you’re getting very close to it being done?
Bill Siwek: Yes. We definitely feel we have a handle on the issues quite frankly, we have for quite some time. But these warranty campaigns take a little bit of time to work through. So we’ll be continuing to work through the balance of those campaigns even though the cost is already sitting in the P&L, but we will still have some technicians as we finish up those campaigns. So the vast majority of our technicians are already on third-party work or on billable work already. So yes, 2024 should be a much better year from the Field Services standpoint.
Eric Stine: Okay, that’s clear. Thanks.
Bill Siwek: Yes. Thank you.
Operator: The next question is from Justin Clare with Roth MKM. Please go ahead.
Justin Clare: Yes, hi. Thanks for taking my questions. So I guess, first off, I was wondering if you could just update us on how many lines you expect to have operating at the end of 2024. I know you had some commentary earlier about it. So it sounds like maybe 39, but I wanted to be sure. And then how many of those lines that you expect at the end of the year are under contract versus how many are under negotiations still?
Bill Siwek: Justin, I’ll start off. We ended this year with 37 lines. And now we’re turning four lines back over to Nordex for Matamoros. We’re adding four lines in for GE down in Ora [ph]. So kind of offset. And then there’s six other lines that were starting up through start-up and transitions this year, and then there’ll be seven lines that go away because in one factory just due to space so we’re going from three lines down to two. So we’ll end the year with 36 lines installed.
Justin Clare: Got it. Okay. Is there any discussions with your customers to potentially add more lines by the end of 2024 than where you are right now? Or if not in that time frame, given the strong order flow and the potential ramp in 2025, what’s the possibility that you could look at expanding at – in that time frame?
Bill Siwek: Yes. We – there’s certainly – we do have some available capacity that we could fill relatively quickly in 2024. And as you rightly point out, there has been a lot of order activity recently, end of last year and carried into this year. We do see volumes picking up fairly significantly in 2025. So you might imagine we’re having discussions with all of our customers about capacity, additional capacity and additional lines.
Justin Clare: Got it. Okay. And then just one other one. Just curious on the trend in OpEx in 2024 versus what we saw in 2023. And then as we move further into 2025. Any meaningful change that we should be thinking about?
Ryan Miller: I’m assuming you say OpEx, our capital expenditure guidance, we’ve guided to $25 million to $30 million. About half of that is related to startups and transitions expense. Okay. Are you referring to operating expense or CapEx, Justin?
Justin Clare: Operating expense.
Bill Siwek: Yes. I mean, we have taken significant amount of operating costs out of our structure over the last several years, and we will continue to do that. Our new COO is – has a very deep history and experience with lean, and that is a mindset that we're employing throughout our organization. So we expect to continue to take down structural costs and we'll continue to focus on that as we move forward. So I would – the trend of reducing our operating cost as a percentage will continue.
Justin Clare: Okay, great. Thank you.
Bill Siwek: Yes. Thanks, Justin.
Operator: The next question is from Dimple Gosai with Bank of America. Please go ahead.
Dimple Gosai: Hi, good evening. Thank you so much for taking our question today. I have two questions, please. One is, given that you've realized higher pricing in the latest set of results, can you give us an idea of what – how we can think about the cadence of margins through 2024, given various different dynamics at play? That's the first question. And also on the pricing side and the backlog, do you see any evidence of customers that are basically looking to renegotiating pricing for some of these projects in the backlog?
Bill Siwek: I'll take the second one first, and then I'll let Ryan take you through the margins. But no, I mean, obviously, we have – we've repriced essentially every quarter based on market pricing of raw materials and what have you. But as far as renegotiating price based on specific projects, that's not something we're seeing. I mean it's – we have contractual arrangements with our customers that have formulaic pricing. So we're not seeing anybody come back on specific projects for repricing. And on the margins, Ryan?
Ryan Miller: Yes. I think on the pricing side, so this year, our mix of blades was a little bit more towards the longer blades. We actually had that mix more than outweighed that we had material costs coming down. As you know, a lot of our material cost flow to our customers, so that partially offset that. As we look to 2024 on the pricing side, we do expect our ASPs to go up. That will be largely due to just the length of blades and some of the ramp-up of those. From a margin perspective, the big hitters as you look from 2023 to 2024 is we had almost $50 million of warranty charges that go away. We also had about $45 million of losses from our Nordex Matamoros plant that effectively go down to close to zero. And then we had a $22.5 million charge for Proterra bankruptcy that goes away. And so as those go away, we have a number of different margin improvement plans that we have in place. One of those being that Field Services will be obviously a lot more on third-party revenue-generating activities and less time on warranty work. And then we have about $30 million of total cost reductions baked into the plan that are offsetting a lot of the inflation headwinds that we have currently out there today. As you – when you go into our 10-K, we talk a lot about some of the inflation headwinds we have in Turkey and Mexico. And so our teams have worked to go out and take a lot of cost out of our system to make sure that we can offset those things.
Bill Siwek: As we talked about, though, it's a tale of two halves, right? So first half, we're talking about mid-single-digit loss back half of the year, second half of the year, mid-single-digit profit. So that's kind of the cadence.
Dimple Gosai: Perfect. Thank you so much.
Bill Siwek: Yes.
Operator: The next question is from Andrew Percoco with Morgan Stanley. Please go ahead.
Andrew Percoco: Great. Thanks so much for taking the question. Most of them have been answered, but I just want to follow up quickly on the margin cadence. Can you maybe just give us a sense for what's baked in for the Red Sea dynamic? I think it was mentioned that having an impact on freight costs. So can you just give us some sense for what you're baking into your margin guidance for elevated freight costs? And maybe just remind us what your contract structure looks like in terms of passing those costs through to customers.
Bill Siwek: Yes. So I can't give you a precise percentage that we baked in. Again, we're not impacted that significantly quite frankly. It's relatively few raw material SKUs, if you will. And we have looked – and we do have alternative suppliers to avoid that route to some extent. So it's actually a pretty minimal impact. And – however, to the extent it does impact, our pricing is on total delivered cost. So to the extent we have price increases as a result of logistics that would get baked into the blade price as well.
Andrew Percoco: Okay. That's helpful. And then maybe just to come back to working capital for a second. Can you just give us a sense for what that looks like in the first half of the year as you transition some of these lines? And maybe just give us a sense for on the liquidity front, it sounds like you're focusing on managing cash, but what are some of the levers that might warrant some additional capital to be brought into the balance sheet to manage through this transition?
Ryan Miller: We're not planning on bringing incremental capital onto the balance sheet at this point in time. I think there still is a little room to work in our existing plants that we have mature blades and we're producing. I think there's still some room out there that we can bring some of that working capital down, particularly around our inventory balances and contract assets, which is what we executed on the fourth quarter. But you will see a modest increase in working capital because we have a lot of lines that are ramping up here in the first half of the year. So that consumption of cash that I talked about in the prepared remarks, was really focused in on some of those areas that we have and we have production that will be ramping up. So that will consume some of that working capital. But we're going to continue to go after everything we can on the balance sheet as far as getting as efficient and disciplined as we can.
Andrew Percoco: Great. Thanks so much.
Operator: The next question is from Kashy Harrison from Piper Sandler. Please go ahead.
Kashy Harrison: Thank you for – good afternoon, everyone, and thanks for taking the questions. Maybe a follow-up to Mark. So how much of your revenue guidance is derisked by your current supply agreement? And then while we're under the discussion of revenues, what is the level of revenue required in 2025 to get to $100 million of EBITDA?
Bill Siwek: Yes. So the – all of our revenue is derisked in 2024. I mean it's all under contract. So that's pretty straightforward. Revenue, I mean, we're not going to give you guidance for 2025 at this point in time, clearly, but think of it as…
Ryan Miller: Yes. I would think, Kashy, mid-single digits is where we plan to be at the second half of the year. I think as we enter 2025, we'll be on that pace. And as volumes start accelerating, that's where we start to get on that walk to get up to our high single digits that we expect to be on a pace to be there as we exit 2025 and go into 2026. So still working through the timing on some of those starts and transitions, but I would think about us being on at least a mid-single-digit EBITDA type business as we get into 2025.
Kashy Harrison: Got it. I appreciate the color there. And then just my follow-up question. You guys have highlighted the IRA clarity as the driver of project delays. Can you remind us what exactly customers are waiting on? When do you expect to get that clarity? And then I guess maybe just another question is, why is it that solar development has moved forward regardless of IRA clarification and while Wind has taken longer has that – taken longer to move forward post IRA?
Bill Siwek: Yes. So on IRA, there's still – even though guidance has come out on domestic content, there's still a lot of clarification that's needed, obviously, on the green hydrogen piece, which could drive a significant amount of wind in the long term. There's still a lot of clarification around that. The initial guidance was not that favorable. Those are just a couple of examples. On the solar side, it's a good question. I think part of it is development of solar might be perceived as being a bit easier. I think inflation has impacted solar a little bit differently than it has wind. I think wind does take longer to permit in some locations. So it's a whole bunch. It's a whole combination of different factors, Kashy. I can't just point to one, but it's a number of different factors.
Kashy Harrison: Got it. Thank you. 
Bill Siwek: Yep. 
Operator: The next question is from William Grippin with UBS. Please go ahead. 
William Grippin: Hi, good evening. Thanks for the time. My first question was just around the strategic alternatives for the Automotive business. And if you can speak to just any potential outcomes or maybe a range of outcomes here as you move towards possibly completing it, it sounds like by June here.
Bill Siwek: By range of outcomes you mean structure or – I mean, I think we've talked about it before, it could be – we could be talking about joint venture, partnership, any combination of those things that would provide capital to that business to execute on a lot of the development programs we have and the growth we expect.
William Grippin: Got it. Perfect. And then...
Bill Siwek: Does that answer your question?
William Grippin: Yes, yes, you got it. You got it. Yes. And just thinking a little longer term, three plus years out here as the wind market hopefully continues to recover and stabilize, how are you thinking about potentially adding lines beyond the $37 million at that point? Are you comfortable with kind of the footprint you have in place? Or would you expand more if you think the demand is there and sustainable?
Bill Siwek: Yes. Yes, clearly, if the demand – if we see the demand there, and it is sustainable, and we have commitments from our customers that in certain regions, we certainly will look at opportunities. We're looking at them today. These – if it's a greenfield, it takes a long time to get there. So looking at markets and geographies where demand – we think demand will be for quite some time, we're evaluating that today. So the answer is yes. We will certainly consider that. Are we comfortable with our footprint today? Absolutely. I think we have a great footprint and we do have capacity to fill. So I think just by filling our capacity today, we get north of $2 billion of revenue, filling our capacity and running that at a fairly modest utilization rate, 90s, mid-90s and gets us to those EBITDA numbers that we've talked about. So I think we're in a good position today. But if the opportunity presents itself, we can certainly look at additional growth opportunities beyond our existing footprint.
William Grippin: Appreciate it. Thanks, Bill. 
Bill Siwek: Yes. You bet. Thanks Will. 
Operator: The next question is from Jeffrey Osborne with TD Cowen. Please go ahead. 
Jeffrey Osborne: Hey Bill, three quick ones. On the EV side, I think you had previously talked about year-end having some clarity on that. I think the 10-K makes reference to June. Is the sort of anti-EV marketplace delaying that? Or is there just a slower process than anticipated?
Bill Siwek: I would say it's more a little bit slower process than anticipated. But still, we're moving forward, a lot of interest, and we do believe we'll have something done here shortly.
Jeffrey Osborne: Got it. Good to hear. And then on the supplier issue, it looks like the decremental margins were around 35%, just eight divided by 23. What are the – a, why is that? Is it just you had to pay people to stand around from a labor perspective, I assume in Mexico for four weeks to do nothing? Or – can you just walk us through that? And then when you are going after damages, is it for the full value of the product loss or the full loss income or EBITDA to the company?
Bill Siwek: Yes. So the – I mean, you're basically losing contribution margin, right? So it is – we do have people that are – I wouldn't say they were doing nothing, but they are not nearly as productive as they would be if they're building blades. So yes, you're basically stopped and you can't just send them home. You've got to keep that workforce intact. So it's that, it's additional cost to deal with – to deal with the speed up then of the production once you do restart. Damages, I don't want to talk about that publicly, but our contracts provide for that, and so we'll follow our contract.
Jeffrey Osborne: Got it. And the last question I had is, is there any update on what the plan is for Newton? And is that – I assume that's not in 2024 guidance? And perhaps if it's like repowering for GE. Is that something that could be started fairly quickly versus a newer blade model that maybe you haven't produced in the past?
Bill Siwek: Yes. Yes. So you're right, it's not in 2024 guidance. And to your point, to the extent we were to be asked to start with the existing blade that the plant is tooled for, we could start up fairly quickly. It would just be a matter of assembling the workforce. So that would be relatively quickly. But yes, it is not in the 2024 guidance at this point.
Jeffrey Osborne: And the rationale there is that because they need clarity on IRA or is there some other market driver on why you don't have clarity on that facility?
Bill Siwek: Yes, that's, it's more clarity for GE and what they want to use the plant for at this point.
Jeffrey Osborne: Got it. Thank you. That's all I had.
Bill Siwek: Thanks, Jeff. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill Siwek for any closing remarks.
Bill Siwek: Thank you again for your time today and continued interest and support in TPI. We'll talk next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.